Operator: Good day and welcome to the Expedia's Q4 2015 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the call over to Alan Pickerill, Vice President Investor Relations at Expedia. Please go ahead, sir.
Alan Pickerill: Thank you good afternoon, everybody and welcome to Expedia's financial results conference call for the fourth quarter and full year ended December 31st, 2015. Pleased to be joined on the call today by Dara Khosrowshahi, Expedia's CEO and President and Mark Okerstrom, our CFO and EVP Operations. The following discussion, including responses to your questions, reflects management's views as of today, February 10, 2016 only. We do not undertake any obligation to update or revise this information. As always, some of the statements made on today's call are forward-looking, typically preceded by words such as we expect, we believe, we anticipate or similar statements. Please refer to today's press release and the Company's filings with the SEC for information about factors which could cause our actual results to differ materially from these forward-looking statements. You will find reconciliations of the non-GAAP measures to the most comparable GAAP measures discussed today in our earnings release which is posted on the Company's IR website at ir.expediainc.com. I encourage you to periodically visit our Investor Relations site for important content including today's earnings release and an updated investor deck. As a reminder, we sold our 62.4% ownership stake in eLong on May 22, 2015 which was previously a consolidated entity of Expedia, Inc. For GAAP accounting purposes the results of eLong are included in our results through the date of the sale. But in order to allow investors to compare our current results on a like-for-like basis with our historical results, our commentary in the earnings release and on this call is principally focused on our results excluding eLong which should be considered in addition to the GAAP results on a fully consolidated basis. Finally, unless otherwise stated all references to cost of revenue, selling and marketing expense, general and administrative expense and technology and content expense also exclude stock-based compensation and depreciation expense. And all comparisons on this call will be against our results for the comparable period of 2014. With that I would like to turn the call over to Dara.
Dara Khosrowshahi: Thanks, Alan. I wanted to start right upfront thanking our employees all over the world for another strong year for Expedia Inc. Mark, Allan and I get to tell you about and take pubic credit for the success of the company, but it's the amalgamation of everyone's dedication and good work that adds up to the figures that we’ll review today. And figures tell a consistently strong story. Gross bookings for 2015, up 24% to $59.7 billion and total revenue up 19% to $6.6 billion. Our customers bought 35% more airlines tickets, 36% more room nights totaling more than $200 million for the year and 37% more car days in 2015 versus 2014. We delivered nearly $1.2 billion of adjusted EBITDA for the year, impressive in its own right, but specially so when you consider the huge headwinds from foreign currency, the significant investments we are making in resetting our contracted marketing structure with our hotel partners and the deal related costs that we incurred in connection with our busy year of M&A activity. Speaking of M&A 2015 was an unprecedented year for Expedia as we completed over $6 billion of strategic acquisitions which included Travelocity and majority stake in our AirAsia joint venture. A significant minority investment in Decolar, Orbitz Worldwide and most recently our largest acquisition ever in HomeAway. These transactions have consolidated and scaled our U.S. operations, extended our international reach and have opened up a new leg of growth in the alternative accommodation sector. We also divested our stake in eLong for a nice profit and entered into a long-term alliance with Citra. Briefly on Orbitz the integration is progressing well with nearly all of the direct type in traffic of Orbitz.com and CheapTickets already on the brand Expedia platform. It's early but results so far are promising. The migration work will continue to the first half of 2016 followed by optimizing the sites and tuning our variable marketing channels post migration. We’re also actively working on other parts of the Orbitz business, including eBooker’s, Hotel Club, Orbitz Partner Network and Orbitz for Business. Our goal is to migrate the vast majority of our Orbitz for Business clients onto Egencia platform before year end. We’re also in active dialog with our OP [ph] and private label partners on expanding our relationship with them and we see these efforts carrying through 2016 and into 2017 for certain partners. Moving forward, we’re planning to invest aggressively in our private label and partnership capabilities and consider this area highly strategic for our company. I’ll also add that we’re very pleased with talent level and execution capability of our Orbitz teams all over the world. The people and the brands we’ve added to our family will play an important role in our future success. It’s very early, but we’re encouraged with HomeAway’s Q4 performance coming in a bit ahead of our expectations and have been consistently impressed with the level of talent there. HomeAway will be operated largely as a standalone business and will serve as the end-to-end vacation rental and a home sharing platform for Expedia, Inc. family. That said, we plan to be highly involved with the HomeAway team helping them expand aggressively and move from their traditional listings model to a fully online transaction model. The team is beginning to introduce of service fee to travelers and we expect that it will be fully launched on its U.S. vacation rental listings in the coming months slightly ahead of schedule. Around the same time, we’re rolling out lower supplier commissions for paper booking listings as well as a book with a confidence guarantee, which is designed to encourage travelers to book on HomeAway and give them increased piece of mind when they do. We started an integrated marketing campaign in some of our major markets and intend to reinvest incremental upside from traveler fees back into the business. Particularly in product technology and marketing, we remain confident in our estimate of 350 million in adjusted EBITDA for HomeAway in 2018. We continue to see strong growth for Trivago into Q4 and in fact for all of 2015. We’ve had some investor questions in regards Trivago’s core growth and profitability and we’d like to share some numbers for European markets versus the rest of the world. To take out the noise created by foreign exchange fluctuations, the numbers here are stated in euro. Trivago delivered 2015 standalone revenue of roughly €490 million, up nearly 60% year-over-year with adjusted EBITDA of a few million euro. Now within these numbers, their most mature European markets collectively had revenue of over €250 million, up 20% year-over-year and with the contribution margin after direct marketing costs of about 25%. Trivago’s rest of the world markets had revenue of €235 million, up nearly 130% and contribution margin just above breakeven. Know also that overhead cost for Trivago have been running in the neighborhood of 10% of revenue. While we expect Trivago to achieve healthy top and bottom-line growth in 2016, we’ll continue to reinvest profits from core markets to further scale in expansion markets on a worldwide basis. The Trivago seems first rate and we believe that the global growth run rate for this brand continues to be substantial. Lastly, underpinning our active M&A strategy in investment in high growth businesses is a core organic business that has never been stronger. Brand Expedia, Hotels.com or Expedia Affiliate Network business all had terrific years delivering healthy room night and adjusted EBITDA growth. Egencia our corporate travel business had another excellent year, signing up over 1.1 billion of new client business and delivering 12% adjusted EBITDA growth. Supporting all of our brands, our lodging supply team is also firing on all cylinders signing up nearly 60,000 new directly contracted hotel properties in 2015, up over 30% year-on-year. Since I opened my remarks with our accomplishments of the company, I’ll close with some thoughts about key challenges. Competition for consumer attention is as strong as ever, as our competitors and in some cases our partners invest and innovate aggressively. We’re also jumping into the alternative accommodation space where there is already a sizeable competitor and where we have a significant business model transition to undertaken at HomeAway. And as I described, we have heavy integration work with Orbitz. These matters along with the volatile global macro-economic climate together create a very dynamic and challenging environment to say the least. That said, our businesses and our teams no strangers to these types of challenges. We’re focused, we’re hungry, we have an establish execution and capital allocation record and we take these challenges ahead on and with confidence. With that, I’ll hand it to Mark.
Mark Okerstrom: Thanks, Dara. One quick reminder before I get started. As was the case last quarter in order to help with comparability, our comments today are focused on Expedia results excluding eLong. Since we sold our 62% in eLong last May. Financial results for that business are included in our GAAP results on a consolidated basis through that date of the sale. We are quite pleased with our financial performance in the fourth quarter and for the full year 2015 excluding an estimated headwind of $10 million to $15 million from the impact of the terrorist attacks in Paris and the negative impact of HomeAway in the quarter, not contemplated in our prior guidance. Our full year 2015 adjusted EBITDA growth exceeded the guidance we gave on our Q3 call. In the fourth quarter, top-line growth was driven by solid unit growth across products, geographies and major brands. But first we are getting a boost as we consolidate Orbitz, but despite the law of large numbers, our organic growth rates continue to be very healthy and comparable to the rates of growth we’ve seen for the last couple of years. In hotel revenue grew 24% on room night growth of 39%. The inorganic contributions to hotel revenue and room night growth were 14 and 15 percentage points respectively. We estimate the negative impact on Paris with around 300 basis points for both measures. Revenue per room night was down 11% in Q4, and a 5% decline in average daily rates. Note that the gap between revenue per room rate and ADR has narrowed this quarter compared to Q3, principally on reduced foreign exchange impacts. We do expect to see continued year-over-year pressure on revenue per room in 2016 if you trade some of our unit economics to drive volume in global scale. Air revenue was up 61% on ticket growth of 70% partially offset by decline in revenue per ticket of 5%. Expedia continue to grow ticket volume at a healthy organic rate, along with the sizable contributions from recently acquired companies. Excluding acquisitions Air revenue grew 6% on ticket growth of 22%. Key to our strategy is to grow additional travel products alongside air tickets and room nights. We are pleased to see some good examples of this in Q4, including 66% transaction growth for our local activities business and 43% revenue growth for insurance product. We also continue to see solid growth in our advertising and media business with Trivago growing standalone revenue 27% or approximately 43% currency neutral, fairly consistent with the year-over-year growth we saw in Q3. Media solutions also grew revenue nicely with the boost from the addition of Orbitz. HomeAway finished 2015 strongly and a bit ahead of their plans as measured on a standalone basis. For Speedy Inc. HomeAway contributed revenue this quarter for approximately $20 million which has been classified as other revenue in our product classification. We are breaking out HomeAway as a segment, so you will be able to see their standalone performance on an ongoing basis. Because HomeAway is in the process of moving to an online booking model and a fair bit of the bookings still occur outside of the platform we are not planning to report gross bookings or unit growth for that business at this time. Although the seasonality for business can cause the shape of our P&L to vary quarter-to-quarter we continue to drive to results that use leverage achieved in key expense categories to fund aggressive selling and marketing investments around the world. In Q4, excluding the impact from Orbitz and HomeAway the P&L we delivered was largely consistent with this approach. Selling and marketing grew a bit faster than revenue, while cost of revenue in G&A grew slower providing leverage. Our technology and content expenses did grow faster than revenue and nearly 6 percentage points faster than Q3, on the combination of higher people costs along with lower capitalization rates. We continue to scale up our core infrastructure and brand Expedia technology teams to support organic growth and to drive the integration of our new OTA brands. And as such we are expecting elevated technology and content expense growth at least through the first half of 2016. Importantly, our results for Q4 included the first full year of Orbitz and the layering in of the HomeAway standalone financials for the 17 days of the quarter that we own the business. The operations of Orbitz for the full quarter along with deal related and integration costs resulted in an approximate break-even adjusted EBITDA contribution for that business in Q4 which included a purchase accounting revenue headwind of approximately $27 million. Overall the Orbitz results were a bit better than we had expected on a combination of lower integration cost and better overall performance. HomeAway had a negative impact on adjusted EBITDA of $14 million in Q4 not contemplated in the guidance we gave on our Q3 call. This included the results of the business the negative impact of deal related costs and a purchase accounting revenue headwind of approximately $6 million. Briefly as we enter a new year I would like to remind folks of a few keys aspects of how we manage the business. We are committed to stricken a balance between delivering healthy profit growth in the near and mid-term, while making key investments in our business that will allow us to grow sustainably over many years to come. From a practical perspective this means that we only see certain upside and/or outperformance for month-to-month, for quarter-to-quarter including from acquisitions. We have a bias to reinvest at least a portion of that upside back into the business. As part of this approach we do not guide to quarterly results and investors should not expect to see the full amount of organic over performance or M&A related windfalls drop immediately to the bottom-line. This is an important tenant for how we are running our business and we want investors to fully understand this approach. Turning to our financial expectations for 2016. On a consolidated basis including all the businesses we own today, and excluding eLong, we are expecting full year adjusted EBITDA to grow in the range of 35% to 45% year-over-year. The contribution to this result from a full year of Orbitz and HomeAway combined is expected to be in the range of $275 million to $325 million. In terms of the shape of the year, we are expecting particular pressure on Q1 adjusted EBITDA. Due to the seasonal nature of our business back end loading of adjusted EBITDA dollar growth is not unusual but we do expect the impact will be especially acute in 2016. This is due primarily to integration of Orbitz and the timing of synergy realization which will ramp in the back half of the year along with the transition at HomeAway. As a further reminder, note that we lapped our acquisition of Wotif in the fourth quarter 2015 and we’ll lapped booked the Travelocity acquisition and the consolidated of the AirAsia-Expedia joint venture in Q1 which will create tougher comps. Further the roll out of TripAdvisors instant book product will also likely continue to be a small headwind on room night growth in 2016 with an insignificant impact on profitability. From an expense stand point including Orbitz and HomeAway while we will see leverage in costs of revenue and general and administrative expenses in 2016, we expect technology and content expenses to grow faster than revenue primarily driven by integration efforts and the inorganic impacts of our recent acquisitions. Regarding taxes as you might imagine, there is lots of moving parts, especially related to newly acquired companies and our international versus domestic mix. However, we currently expect effective tax rates in the mid-20% range. Finally, some directional color on our CapEx trends. In 2015, we saw significant CapEx growth with about half of the dollar growth attributable to the purchase of our future headquarters. Spending for real estate in general also was elevated as we continued to grow our market management team aggressively and built out new office space around the world. In addition, we invested heavily in servers and other hardware in anticipation of future organic growth and upcoming integrations. To a lesser extent an increase in capitalized software development costs also contributed to year-over-year CapEx growth. For 2016, we expect a much more moderate pace of CapEx growth, most of which will be driven by the inorganic impact of recent acquisitions. With that, let’s move to Q&A. Operator, will you please remind participants how to queue up for questions.
Operator: Thank you. [Operator Instructions] We’ll go first to Justin Post with Merrill Lynch. 
Justin Post: Thanks. Maybe two quick ones for Dara and one for Mark, housekeeping. First Dara, can you talk about the macro environment? Obviously a lot of fears with some of the RevPar data out there? What you’re seeing in maybe U.S. and Europe. And then the S4, a lot of us have read it, really interesting commentary on the HomeAway acquisition. And there is a 2018 number of 2.34 billion in EBITDA. Can you comment on that number at all, how important that is, is that something a target or how you think about that number? And then Mark just to confirmed your guidance. Is the number you’re suggesting 35% to 45% growth, is that off the 1165 or the 1103 and EBITDA this year? Thank you.
Mark Okerstrom: Sure. Thanks Justin. As far the macro environment goes we listen to the same news that you do and certainly the new suggest that the macro environment is pretty uncertain and the stock market downright scary. That said, when we look at the macro environment and how it effects our business one important factor and our business is the air business. And air ticker prices are down pretty significantly year-on-year, it’s obviously some of the savings of oil prices that are being passed on by the airlines to consumers. And that’s an unambiguous positive for us, the more lower air ticket price is go, the more, the leaser traveler tends to fly and more the leaser traveler test to fly, we have a bit of what we think is a strategic investment, strategic advantage on air side. And the more leaser travelers we have flying for more opportunity we have to sell hotels and insurance and cars and everything else to them. So to some extent weakness in oil and air side is a pretty big positive for us. On the hotel side, while we have seen ADRs weaken a bit between call the beginning of the year and Q4. When we look at Q4 trends into January, we don’t see anything of note one way or the other. There are some spot issues obviously Paris is weak, which is perfectly explainable. New York ADRs continue to be down year-on-year, although they improved over Q4 and that’s European travelers really traveling into the U.S. and affected foreign exchange. In Asia, we see certain markets like Hong Kong and Macau down as far as ADRs ago. But again no significant shifts when we look at Q4 trends into January that are of note. So it’s something that we’ll watch and to the extent that we see anything, we’ll certainly share it with our investors. But we’re not seeing any material moment one way or the other right now.
Dara Khosrowshahi: And then Justin, on your question on 2018 consolidated EBITDA that was contained in the S4. Listen at the time of the acquisition, we put forward some forecast for what we believed or possible outcome for consolidated Expedia, Inc. results over the course the next three years, did not account any upsides or any significant investments, it’s a possible outcome. So I wouldn’t put a lot of weight on that. That was then combined essentially with the HomeAway projections and we did not at that time contribute to the combination of those results. Listen I think you can look at it as a possible outcome, but it certainly not something that I would use as guidance and I think as you know we make discrete discussions for month-to-month, quarter-to-quarter. So there is a lot that can change between now and 2018 and we’re just really focused on continuing to have a business where we can deliver consistently strong growth rates over a long period of time. In terms of the guidance, the 35% to 45% growth is off of the 1,165 which is the Expedia, Inc. full year 2015 number excluding eLong.
Operator: We’ll go next to Mark Mahaney with RBC Capital Markets.
Mark S. Mahaney: Thanks. Two questions, I wanted to follow-up on Justin’s question. So if you do that 35% to 45%, it kind of imply that the core business is going to grow, your guidance imply something like 9% or 10% at the low end and to 19% at the high end, so call it 10% to 20% just to round here and that’s obviously a little bit more aggressive than the kind of guidance for the core business you gave going in the '15 so it does sound like all in business conditions are getting stronger of Expedia, but just want to make sure I’m interpreting that numbers and stating that right. And then secondly in terms of the -- you guided for revenue per room night continuing to come down in '15 and the question I want to ask is, will it come down at the same pace, or accelerated pace or less of a strong pace. In other words what we saw in the quarter was that 11% year-over-year was a little less than we had seen in last couple of quarters, are we starting to see a fade down in that pressure you are seeing on revenue per room night? Thank you.
Dara Khosrowshahi: Mark I'll let Mark take most of that question, but one thing I will remind you as far as the core business is that foreign exchange was a really, really significant headwind for our core business this last year, and while they will continue to be a headwind in Q1 and Q2 it ease up in the back half of the year. So all things being the same that will be a benefit in 2016 versus 2015. I'll let Mark answer the others.
Mark Okerstrom: Yeah. I’ll just say, just again to clarify on the guidance. I would take that as core implied guidance so of course to 8% to13%, I would take the high on the Orbitz-HomeAway impact and subtract it from the high on the total and the low from lower side. I wouldn’t take our guidance as being up to 19%. And then also our revenue per room night, we've been saying for a while that the gap between revenue per room night, you can think about that as call it the 300 to 800 basis points range and it moves around. I think what you will see in 2016 is you are going continue to see that range of movements towards the back half, I think there is possibility as we start the comp over some of the margin reductions we did this year, that start to ease and then I think you'll start to see I would expect some more easing in that as we move through 2017. And again this is with regards to the gap between revenue per room night and ADRs. Of course ADRs are one of the biggest drivers of overall revenue per room night movements.
Operator: We go next to Naved Khan with Cantor Fitzgerald.
Naved Khan: Yeah thanks two questions. Just on the HomeAway, I know it's still early days for the transition to the online booking, but can you just talk about what kind of penetration rate you think you can reasonably get to by the end of this year in terms of the percentage of booking happening online versus enabling the business. And then I had a follow up on the guidance, so I think Mark you called out the contribution from the two acquisitions Orbitz and HomeAway to the EBITDA numbers, but I think previously you talked about Orbitz seeing synergies of up to or in excess of $75 million, is there any update to that number?
Mark Okerstrom: Sure, why don’t I take the last question first and then Dara can chime in on HomeAway. So just again on $275 to $325 of adjusted EBITDA contribution for the two acquisitions combined. First of all I'll just remind people that are on standalone basis we had said Orbitz was on track to do around a $135 million of adjusted EBITDA in 2015, it came in a little bit ahead of that, but I think that as a decent base in HomeAway, little bit better than $120 million and adjusted EBITDA from 2015. They will both have purchase accounting headwinds in 2016 both around $10 million each. So, you can think about that it’s about $20 million combined. So take that as your base and then the way that we get to obviously the higher number is synergies, and a lot of that is going to come from Orbitz and it's going to come in the back half of the year. In fact in the first part of the year we are going to be in a position not unlike where we were with Wotif where were essentially carrying almost double cost, we've built up teams to support the integration of the Orbitz businesses on to the brand Expedia platform for example, at the same time is maintaining the Orbitz existing platform and that is really once we get the platform transition done which is really happening in the first half of the year for the big consumer businesses that’s when you start to see synergy realization come in and that’s really starting again in the back half of the year and we're hopeful that by the end of the year we should be pretty close to a run rate number, but we are not going to be even close to that in the middle of the year and we'll probably be sub that, there will be a detriment in the first part of the year. 
Dara Khosrowshahi: And as far HomeAway goes as of the end of the year we had about 60% of our total listings online bookable we don’t disclose the actual percentage of bookings that run through our listings and we are going to be working on increasing the percentage of online bookable listings in 2016 and get it much closer of 100% as much as we can. Really, we're going to be pushing online booking, offering it to our partners and that along with the book would confidence guarantee for travelers, we think it's going be a win for the travelers and it’s as also going to be win for our supply base as well and that’s really the focus of the business. We will try to obviously drive the online booking volume. But that is really much more of a long-term goal for us as a company and I think 2016 is going to be about kind of setting the base, making sure the technology infrastructure is right and making sure that we’re taking any and all kinks out of the online booking process to make it incredibly easy for travelers and incredibly easy for our subscribers as well. We don’t have a specific target for percentage of bookings going over the trends so to speak for 2016.
Operator: We’ll go next to Tom White from Macquarie.
Tom White: Just first on room night growth, you talked a little bit about headwinds from the booking.com instant booking implementation. Could you maybe comment on what sort of headwind that was to room night growth in the quarter. And then just a follow-up on HomeAway and moving ahead with instating this consumer booking fee. I guess when HomeAway was independent, we could see how that extra margin would really help them from the seat, would be really helpful in terms of competing and investing against Airbnb. But now that’s part of bigger Expedia. How do you guys sort of weight the benefit of that booking fee in terms of increased monetization versus the possibility that it negatively impacts the consumer experience? Thanks.
Mark Okerstrom: Thanks Tom. So I’ll start with the room night growth and then turn it over to Dara on HomeAway. So there were a few headwinds for us on room night growth in the quarter. We had about a 400 basis points harder comp partially on the back of lapping over some pretty strong growth in Travelocity with the commercial agreement implementation. And then also Wotif which we were lapping over in the quarter. We also had about 300 basis points of room night growth impact from the terrorist attacks, we estimates -- so both of those were pretty significant headwinds for us. In terms of the instant book impact. I think, if you talk about that in the 100 to 200 basis points range that would be a good barometer. And then just in terms of expectations for 2016. We are expecting to see some deceleration in room night growth as we move through the year. We’re also copying over acquisitions and consolidations again in 2016 Travelocity for example ramping up Wotif on variable marketing channels, the integration of Brand Expedia Asia. So just keep those in mind and then to the extent that TripAdvisor roles out instant booking more broadly which we currently do expect them to do. And we continue to not participate in that that could be an incremental headwind and think about that as larger than 100 to 200 basis points, it could be 200 to 300 basis points. But again insignificant from the perspective or profitability.
Dara Khosrowshahi: And as far as HomeAway and the booking fee goes. We’re going to be watching it very closely we obviously want the consumer experience to be great and we are obviously going to be watching the percentage of bookings running over the system. We think with the book with confidence guarantee, we are going to give our consumers, our travelers a lot of confidence as far as booking with HomeAway and making sure that they get what expect, making sure that if they have any issues regarding quality or the deposits, et cetera, they’re taking care of. And then we will be watching other metrics such as the traffic to the sites. The conversion rate of consumers coming and who look at listings, the renewal rate of our subscribers. So there are a host of other metrics that we are going to watch and meter in order to measure kind of what is a balance approach, which is, we do think that we are under monetizing relative to our volume and making sure that as we move to call a market monetization rate, we are providing great experience for travelers who are coming and looking for a great place to stay on HomeAway and we are bringing great value to our supply as well. I will also remind you that the booking fee is something that has been widely expected as far as Airbnb and TripAdvisor go. Airbnb is always had a booking fee, TripAdvisor introduced the booking fees last year. Those transitions have gone very, very smoothly. Our pricing is going to be quite competitive. So this is something that has already been market tested and we feel pretty good moving into this model based on the competition already being that. 
Operator: We’ll go next to Brian Fitzgerald from Jefferies.
Brian Fitzgerald: Thanks guys. I want to ask a little bit these kind of second derivative affects you have. You’re talking about an integration. So first you connect the infrastructure and the plumbing and then the machines and the [indiscernible] would glean to that and learn and then you apply those learning and optimize. Specifically with maybe Orbitz or maybe in even away if that process is going on there too. Is the process lengthening at all just on the sheer scale or size of those integrations or maybe how is this process playing out currently?
Dara Khosrowshahi: I’d say Brian, on the Orbitz side actually, while we haven’t gone through the full process. I would anticipate that Orbitz would actually be a bit quicker than Travelocity and Wotif, because the Orbitz team that was already employees, they had an online marketing team that was very sophisticated, they have an analytics them that is just excellent. So, a number of the folks have been there with Orbitz, they understand these optimizations, this is something they've done before, we are just hoping that as we move them over to our supply base and as we move them over tech stack they’re just going to have a machine that is much smoother and better than the machine that they had to work with in the past. So, we don’t anticipate any hiccups, as it relates to Orbitz you never know. And at least the trends that we’re seeing early on are encouraging, I things most will be on track. HomeAway is a very different animal, HomeAway is not an integration that team is going to be largely independent and activity with HomeAway has been to make sure frankly that that team is not distracted as being part of Expedia. I think we’re freeing up a bunch of their time to focus from call a public company activity, to value added activity, building a great consumer experience, building a great subscriber experience and because we are very, very familiar with this transactional model our product and technology teams are already working with them to make sure that the road maps are what they should be I think the second area where we can add value is making sure that as this volume comes online or as these listings come online, we are not only pushing HomeAway traffic to them but also Expedia and Hotels.com traffic to them which I think is a significant value both for the HomeAway subscriber base but also for the Expedia and Hotel.com consumer base as well.
Mark Okerstrom: Well I'll just say one thing on Orbitz, since that we do have in addition of the Orbitz, to CheapTickets business which is the big consumer business. We also have a numbers of other businesses that are going to take a little bit longer to integrate Orbitz’s partner network for example. We’re super excited about that business and we’re taking the steps necessary to do that right making sure we work with partners and come to the right outcome for example, Orbitz for business is another one we’re pretty excited about the speed at which we are going able move that those clients over to the Egencia platform, but again it is going to take a little bit longer and both of these transitions are new and that we haven't done a lot of these before unlike the core consumer business. So, in terms of synergy realization I would just keep in mind that until those businesses are migrated you don’t get to see the full platform of retirement benefits that you would if it was only Orbitz, CheapTickets and eBookers that were transitioning over.
Operator: We move next to Mike Olson with Piper Jeffery.
Mike Olson: Hey good afternoon. Just two questions here. You mentioned TripAdvisor in support impacting room nights in 2016 at the extent that you don’t participate. So could you talk about how you’re thinking about the model or other similar models in why Expedia may or may not be interested in participating? And then secondly, do you expect the impact of the Paris attacks will continue beyond one or two quarter time period or is that relatively short term issue that you wouldn’t expect to impact the business beyond Q1?
Mark Okerstrom: Hi Mike I'll answer the second one first which is you never know, historically these kinds of attacks have resolved fairly quickly. I’d say Paris in general, we saw immediately kind of an effect on broader European destinations. That effect looks like it disappeared, but there is certainly is, continues to be an effect in on Paris t’s getting better, but trends in Paris are certainly poor compared to the trends that we had seen before Q4 of last year. I think that Paris is going to continue through the year, it was horrific event and I think it was the kind of event that stays in people's memories. So, I think that there will be some effect going into the balance for the year and we’re going do our best to make up for, we’re going to do our best to work with our partners over there and really continue to promote Paris as a wonderful destination that it is. So, hopefully it won't last long, but my personal feeling is that there will be some effect going into the balance of the year. As far as the trip and instant book and how we view that channel. We've been very consistent about how we view any variable channel including in some book in that we look at the economics of a channel based on called the immediate transaction and then we look at the economics of the transaction based on the right sum of value of the customer both in terms of customer repeat rate and the percentage of the time in which those customers repeat directly with us second third time around. Obviously the latter is much, much more valuable. The initial let's say version of instant book was I think quite unsatisfactory as far as branding, et cetera, and representation of where the customer was really transacting with, and the latest iterations that we've seen with booking.com and with some of the supply direct partners, for example Marriot look a lot better they looked much more clear. So, I would say at this point instant book looks better to us than it did when instant book was initially launched. But we don’t have any comments as to what the ultimate decision is going to be down the road.
Operator: We’ll go next to Douglas Anmuth with JP Morgan.
Unidentified Analyst: This is [indiscernible] for Doug. Thank you for taking our question. I have just a follow-up on the HomeAway. So on HomeAway, you guys mentioned the traveler fee will roll out in the next coming months. But could you clarify a little bit more on the timing and the roll out plan a little more. And then could you comment on your marketing approach for HomeAway in 2016 and what drives the confidence on the 150 EBITDA number in 2018? Thank you.
Dara Khosrowshahi: Yes, I think as far as HomeAway goes, we are rolling out now in the U.S. and the speed of the rollout is going to depend on the reaction of customers, conversion rate, how it’s working out with subscribers, et cetera. So the rollout will move quickly to the extent that we see things working out and we will be debugging actively. We will then once we’re done with the U.S. or once we’re well underway with the U.S., we’ll look at the rest of the world. But listen these rollouts are live rollouts and we don’t want to hard code a specific rollout cadence. Obviously we want to roll it out as quickly as possible, making sure that our customer experience and our subscriber experience is terrific. As far as the marketing approach for HomeAway. We do plan a significant year-on-year increase in Brand Marketing and HomeAway for 2016 that’s included in the numbers that Mark related to you. It’s the marketing campaign is already started and the early signs and we’re about five markets in the early signs as far as visits to the HomeAway sites look really good and we’re encourage by the trends that we see. Once online booking really starts to expand, we will be able to throw up variable marking channels as we get variable economics on the revenue side. One of the issues with the subscription listing product is that, you don’t earn money on every single transaction, your earning money on kind of annual subscription. So you can’t necessarily bid for the incremental transaction. Once we have online booking extended along with the traveler fee and volumes rollout there. We do think that we will be able to increase variable marketing channels. But we think that’s something that’s going to happen in the back half of the year as opposed to the front half of the year. On the question of the confidence in the 350 million EBITDA in 2018. We made those estimates based on a set of assumptions, early set of assumptions and so far in the couple of weeks that HomeAway has been a part of the family. We are more impress than we were when we made those assumptions. It’s 2018, it’s a long time from now, but I think what we wanted to communicate is that, you kind of go into a company, you meet to people, you take a look at the look at the technology stack and the product roadmaps and either it’s good news or bad news and at this point with HomeAway is good news for us.
Operator: We’ll go next to Lloyd Walmsley with Deutsche Bank.
Lloyd Walmsley: A couple if I can. First forgive me if I missed this, but when you talk about the 2016 contribution from Orbitz in a way of 275 to 325, what is embedded in that in terms of the deferred revenue that you won't recognize? I know in the S4, you said HomeAway alone could be as high as 107, but is there an assumption that you can share with us around how much is excluded from that? And then second if I can, just curious if you could give us a sense for what you're seeing from early beta hotels on the accelerator bided [ph] take rate product and when do you think that might rollout more broadly and what kind of impact it might have on revenue per room night headwinds you've been seeing? Thanks.
Mark Okerstrom: Sure Lloyd, I’ll take the first one and then turn it over to Dara. On the 275 to 325 there is about $20 million of purchase accounting impact embedded in that. About half of its Orbitz, half of its HomeAway. The bulk of it will unfold in the first quarter with some of the HomeAway stuff taking a little bit longer to bleed off. It is -- the HomeAway impact is a fair bit lower than we had anticipated/feared at the time of the acquisition. We dough in very deep with our auditors and advisors and came to the conclusion that there was a significantly larger portion of it that we can recognize than we had anticipated, so good news on that front.
Dara Khosrowshahi: And as far as accelerator goes, it’s a very, very early. We are training our market managers who are now going out there and explaining the accelerator in the market. And we’re seeing in certain markets, we are seeing engagement with our hotel partners, the partners who have engaged with accelerator products are pretty darn happy, which is great. You want client who like the product. And so we see accelerator starting to contribute to our overall numbers. In general accelerator is a move in the direction of having much more of a marketplace model for our margins. So that hotel of yours can bid up when they need volume, they can go to base bid when they don’t need volume and also along with kind of bidding you get the quality of content of the hotel, the high lease Hotel, treat our customers to the quality of service, et cetera. And user reviews all mixing into a combination of the best hotel for the best customer and also economics that hotelier want to bid at and obviously hopefully economic that work out for us. So, we are very early on this journey, the signs that we’re seeing with accelerators so far are encouraging, we are not making aggressive assumptions in our 2016 plans for accelerator, but if any of our market manager teams are listening, we expect you to do better than the conservative plans that we have. So, we are hoping for the best, we are not counting the best. 
Operator: We go next to Eric Sheridan with UBS. 
Eric Sheridan: I noticed Barry Diller recently gave an interview saying that Expedia was far from done on M&A. So, Dara, one for you would be on capital allocation, how you think about the mix of assets you have now, geographic, as well as sort of capabilities under the broader Expedia, Inc. umbrella, and so how you think about allocating capital going forward towards M&A and continuing the strategic vision. And then number two would be, there's been a lot of comments of late from some of the inventory side like Hilton and Marriott with respect to lower commission rates and last room availability. Wanted to get your take on how the industry dynamic is playing out around lower commission rates, more stable commission rates versus last room availabilities as a theme. Thanks.
Dara Khosrowshahi: Sure, as far as the M&A front, we will be opportunistic as far as our capital allocation goes. I think that the team is more inwardly focused right now looking to go out and aggressively acquire although we have a terrific corporate development and strategy team who are constantly talking to anyone and everyone. When we look at the portfolio of assets that we have especially with HomeAway as part of our family we feel like we have a full portfolio, we feel like we don’t have any competitive holes and if we don’t engage in any M&A for the next two, three years we'll be perfectly happy. That said, we do want to extend our international coverage I think we are in general too U.S. dependent, at this point it’s really good thing because the U.S. economy is the strongest economy in the world. So it is positive now but five to ten years from now, shame on us if we haven't grown significantly more outside of the U.S. and in all the markets Asia-Pacific, Latin America, Europe etc. Second area where we absolutely want to grow in scale is, in the corporate travel market. Obviously we are very strong in leisure travel, corporate travel we think it's an enormous opportunity. It's a higher yield customer sets that our suppliers favor. The demand patterns are quite complementary of leisure demand patterns and we want to get bigger, we want to scale and we see growth ahead for Egencia that is a combination of organic as well as inorganic growth and we think that’s going to continue for some time going forward. And then we’ll also look for kind of innovative new companies out there. Trivago obviously was a terrific one and it's a very, very value part of the family, we've made some investments in Alice for example on the supply technology front. So, we will be opportunistic wing as far as transport goes we’ll continue to be opportunistic, we’ll continue to shoot bullet, so to speak, and see when opportunity is out there in the world. That said the business throws off a lot of cash flow and historically I think before this year there was a fair amount of Capital allocation going to buybacks and to the extent that we don’t see anything external and to the extent that we like our own stock and typically we have liked our own stock. We will look to allocate some capital internally as well. So, it's kind of the world is our oyster and we're throwing off a lot of cash and we will try our best not to waste it. As far as the noise and the chatter with the chains, et cetera, we continue to be strong partners with the hotels, in general our volumes with independents and chains have grown significantly and our strategy with our chain partners is no different than our overall strategy which is to lower our base commissions, so that there is very little friction in working with us. And then really any hotel, whether they are a chain or independent can compete in our marketplace for share and this is a big marketplace, the marketplace is only growing and if you got competitive pricing and you got great content and you treat our customers really well and you provide excellence availability along with margins you will do well in the market place. So I think that the ultimate call it performance of the chains and the relationship with the chains and the volumes that we do with chains is really going be based on kind of chain bidding in our marketplace against independents and in general we see our chain volume, they've been healthy for a number of years and we expect to see them healthy on a go forward basis.
Operator: We’ll go next to Jet Kelly with Oppenheimer.
Jed Kelly: Can you touch on what HomeAway subscriber churn has been since the acquisition, and what is your current plan around subscription pricing? And then a follow-up. Have you seen an increase with vacation rental CPCs, particularly in regards to home -- to Airbnb closing its recent funding route?
Dara Khosrowshahi: As far as the one that I can make a comment on is that renewal rate in Q4 actually improved and where the highest renewal rates for the year. So we are very happy about that. As far as an increase in vacation rental CPCs, we haven’t see any one way or the other. So I can’t really comment on that.
Operator: We’ll next to Stephen Ju with Credit Suisse.
Stephen Ju: Dara, you continue to very quickly add supply to your property portfolio as you adjust your fee structures. So setting aside the removal of about 20,000 indirect relationships for the fourth quarter, I think you added about 73,000 in 2015. So just wondering if there's a way for you to accelerate the pace there? Additionally, I was wondering if you could give us some color on the type of incremental properties you are adding. Are these larger properties, smaller properties, and is the room count per property similar to what's already on the platform? And secondarily, I almost hate asking this question, but directionally, are you seeing any impact from steps on countries maybe taking Europe to tighten their borders due to the refugee crisis? Thanks
Dara Khosrowshahi: Okay. As far as a supply question and the pacing of our supply adds. We’re pretty happy with the pacing. So we tend to accelerate the pacing of ads to the extent that we see higher penetration in certain markets. A higher penetration means that we’re sending plenty of demand into a specific market, which means that we can acquire more hotels. And at this point, we are seeing kind of the growth of demand into the marketplace and the growth of supply be about right. So I would expect the same in 2016 and as we are adding more supply and as the new inventory contribute revenue into our marketplace, we then go on a higher more market managers. It’s a formal that we’ve add in place for about 18 months and I see no reason to change it certainly looks like it’s working. As far as the kind of supply that we are adding, as we are adding more supply, we are attending to add supply in secondary and tertiary markets and the average number of rooms per hotel is going down. So when we look at contribution from new hotel ad, it’s not something we disclose, but it certainly that we certainly look at internally. The contribution per hotel ad is going down and it’s going down because if kind of supply that we’re adding and it’s kind of working exactly to formula, so it’s exactly what we would expect to see. As far as the impacts from countries and the refugee crisis, et cetera. We haven’t seen significant impact other than travel to I would say broad areas that are expected by the refugee crisis or directly affected, it is obviously down. But we haven’t seen kind of second orders stuff, so travel into Europe in general has continued to be pretty healthy and we’re not seeing any significant step changes and demand patterns there.
Operator: We’ll go next to Ron Josey from JMP Securities.
Ron Josey: Just wanted to follow up on two, please. Dara, you may have mentioned I think on Eric's question around hotel commissions and really the readiness of the marketplace. I wanted to understand a little bit more as commissions come down, as the marketplace takes into account how that relates relative to your comment on the accelerator program being very, very early. And then also, just another follow-up on Orbitz and the contribution to EBITDA, could you quantify maybe, Mark, or help us understand the cost savings related to the charges you took around 130 million to 150 million related to employee severance and comp benefits that were announced in November on Orbitz? Thank you.
Dara Khosrowshahi: As far as the comment on accelerator program being earlier. It’s literally because we’ve just launch the program. So this is a product that we co-complete on it in Q4 and we’ve been working with the market managers and hotel partners on launching it officially and that something that will kind of continue as we move through the year. It is a bidding type of product. So as you can imagine this marketplace type products tend to grow over a period of time. As you get more players engaging in them. So it’s early, we like what we see, but again we’re not making any heroic assumptions financially as it relates to tourist accelerator program. But it certainly a good start and we think it’s a terrific product that is going to be a real winner for our hotel partners.
Mark Okerstrom: And then Ron just on the restructuring charges and how that flows through to EBITDA contribution. I would just say that in the $75 million run rate synergy estimate that we initially put out. A big chunk of that was headcount related cost reductions essentially, there is a little bit of revenue in there as well. But predominantly headcount related. So I would look at the severance changes as being related very closely to that number. I would also say that in the overall big number is a fair bit of equity related compensation which does now show up in adjusted EBITDA obviously so it’s harder to translate and add them to adjusted EBITDA impact and lot of that related to senior team that’s not there. So, hope that’s give you little bit more color. 
Operator: We will go next to Ken Sena with Evercore ISI.
Unidentified Analyst: Hi, thank you this is Connor [ph] on for Ken. Just to clarify was there a FX impact disclosed for the adjusted EBITDA guidance? Thanks
Mark Okerstrom: Yeah Conner, there wasn’t. But direction I could say that it is a bit more than the impact to revenue, I’d think it about 600 to 700 basis points range maybe a little bit higher.
Operator: We move next to Michael Millman with Millman Research Associates.
Michael Millman: Following up, I guess, on an earlier question you discussed the outlook for travel and for leisure travel, what's the outlook for business travel in the US, particularly thinking in the oil country ought and outside the U.S. Also, one thing that hasn't been discussed is car rental. What do you see is the impact of Uber on the car rental business in the U.S. and Europe? And finally, just I kind of missed the 35%, 45% EBITDA guidance is compared with what particular number for 2015? Thank you.
Mark Okerstrom: Sure as far as the corporate travel and the trend that we are seeing. We got some caution, I think the teams are cautious about client sales in general because of the macroeconomic environment, the most clear trend that we can point to relating to oil pricing is in terms of our business in the Nordics as you know we acquired Via and integrated into Egencia and we do see volumes in the Nordics regions in general weak and that is very much related to oil prices is being down significant on a year-over-year basis. In general transactions, corporate transactions look good, we're not seeing call it very significant spent cuts one way or the other like we saw a couple of years back, We are seeing some trading down. So the revenue per transactions or gross booking per corporate transaction is down a bit and we think that’s just cautious practice from some corporations out there trading down call it from premium class to economy class or taking a train instead of taking a plane. But those are I would say on the edges, we’re not seeing some big theme one way the other as far as corporate travel changing significant one way the other. As far as the car rental and impact of Uber. You know our car rental business is we think very early in its development. The volume in car days is up very significantly on a year-on-year basis, over 30% on a year-on-year and most of that business is in the U.S. and we think we have a ton of potential as far as our car rental business in Europe goes. So, I just think we are on a growth path at this point that is not going to be effected by Uber we are not going to feel call it market numbers one way the other just because the growth rates that we have are so high. If I were to generalize in Q4 other trends that we saw on the car business on the hotwire side we saw a higher concentration, I’ll call it, agency booking versus opaque bookings. We tend to make more money on opaque bookings. So, that was one trend that we saw but otherwise nothing to say, hey this is Uber who is having a material effect on the business, to speak off. Mark you want to talk to the other question?
Mark Okerstrom: Yeah Michael on the guidance, the 35% to 45% full year, year-on-year growth including HomeAway and Orbitz is in relation to the $1.165 billion and adjusted EBITDA for 2015 which is Expedia Inc. excluding eLong. 
Operator: At this time we now set your limit yourself to one question. We go next to Peter Stabler with Wells Fargo Securities.
Peter Stabler: Dara, a high-level one. On loyalty programs, obviously Hotels.com and Orbitz have pretty high profile offerings. What kind of appetite do you have for further investment behind those programs, and should these programs be expanded, or are there other platforms in the Expedia family where you should roll further ones out?
Dara Khosrowshahi: Sure, absolutely. I'd also add that Expedia has pretty significant loyalty program and I think between Hotel.com, Expedia and Orbitz we are running pretty close to 40 million loyalty members on a global basis and I would say our appetite here is unlimited and way to explain that is that the variable economics behind these loyalty programs are all working. In other words, look at the points costs, we look at the ultimate redemption value of those points to the percentage of people who are using the point, our customers who are using the points and when they use them. And then we look at the behavior of the consumers and like-for-like consumers, who are in the program versus behavior of consumers who are not in the program and how that behavior changes in terms of repeat characteristics and in terms of channel mix. When we look at those factors and compare it to the point costs. These loyalty programs work. So as long as the factors are now changing, as long as these repeat characteristics aren’t changing, as long as the channel mix isn’t changing and as long as the ultimate redemption value isn’t changing, then we will look to expand these loyalty programs as aggressively as we can on a global basis. There are some countries where the programs work really, really well. For example, we’ve been pleasantly surprise in the Asia-Pacific regions where loyalty has really taken off and for example on a welcome rewards basis, it’s got the highest penetration, I’ll call it welcome rewards or hotel rewards. Excuse me, it’s got a high differentiation hotel rewards bookings as a percentage of the overall customer base. So we see some customer bases, who love these programs in the Asia-Pacific regions. But in general, the variable economics look good and we will continue to invest aggressively in these loyalty programs on a go forward basis. The other reminder that I would put forward is that the points cost that we take are upfront, the benefits from these loyalty programs or trailing benefits so to speak. Because you get the repeat benefits, you get the channel benefits down the line. So as we’re growing these member basis, typically we’re paying an upfront costs and we’re building of a pretty substantial asset. We think this is a great competitive moat that we’re building around our brand and we attempt to keep investing behind that moat.
Operator: We’ll go next to Kevin Kopelman with Cowen and Company.
Kevin Kopelman: I wanted to ask about Airbnb. There's been a lot of discussion about how Airbnb is impacting the hotel industry. Can you give us some color on what you are seeing in your hotel business from Airbnb and how you are thinking about that as the year goes on? Thanks.
Mark Okerstrom: We were debating Kevin when we would get the Airbnb question. So thank you very much for that. Listen we’re not seeing -- we don’t see significant effective Airbnb on our business. I would relate it to the answer I gave with car. Our growth rates are substantially different from industry growth rate. So just because we don’t see, it doesn’t mean that it’s not happening. We have said that Airbnb in general and HomeAway are adding inventory in the marketplace, launching inventory in the marketplace and it’s becoming more and more clear that there is a certain set of customers, who sometimes we’ll stay at a hotel, sometime we’ll stay in an Airbnb or HomeAway home. So anytime you increased supply, you will put pressure on pricing. So we anticipate pressure on pricing, we do see it sometime during periods in which there is Super Bowl let’s say or events happening in city that users to sell out, we have absorb that it sometimes get harder for a hotel yield up during those events and sometimes whereas in the past, we would not have inventory for those events, we intend to have inventory for those events. So in some way you could consider a positive as it relates to our marketplace. And then finally anytime you have more supply you put pressure on pricing. You as an intermediary meeting us, want to have access to that supply and whereas before HomeAway was part of the family, we didn’t have significant asset to that supply and our goal was to build out that access to supply on an organic basis. Now that HomeAway is part of the family, we have access to that supply and we will continue to build access to that supply on an organic basis. So we think now that HomeAway is part of family Airbnb effect is going to be a positive factor for us, but it’s very early in this evolution. And at this point, other than those spot circumstances when markets are kind of sold out because of big events, we’re not seeing it affect our specific trends.
Operator: We’ll go next to Justin Patterson with Raymond James.
Justin Patterson: Just wanted to touch on Trivago. Appreciate the disclosures you gave earlier on the call on the mature markets versus the rest of the world. Could you talk about just how you are thinking of reinvesting in the rest of the world and when we should see that growth rate start creeping up to the contribution margin of the mature markets? Thanks.
Mark Okerstrom: Sure Justin. It’s hard to give you precise numbers around timing of when we might expect to see better contribution in the rest of the world. This is a business that operates on a very quick cycle time. We invest, we see return and we see return we like, we continue to invest. I think the big change that will ultimately drive better rest of the world contribution is the ultimate penetration or maturity of the U.S. business. It’s an absolutely huge business now for Trivago, but still growing very strongly and they continue to see pocket of availability to invest into the U.S. At some point over the course of next three years, maybe it's this year, maybe its two year from now, maybe it's three years from now that market will get so big that they are fully penetrated and it does start to look from a profitability perspective anyway like they’re more in mature markets, but at this point it's really too difficult for us to give you color on when that’s going to happen.
Dara Khosrowshahi: And I just want to underline what Mark was saying as far as the decision making for the company, if you look at our technology infrastructure and upgrader tech infrastructure, from a design element we’re going from much of a call a batch data design to real time design. Batch data is data comes in and goes into some data warehouse, analyst come in, analyze it, a decision is made and based on that decision you take actions, real-time is a total flow of data coming in, you are analyzing the data on a real-time basis and you make decisions real-time and that kind a same idea, that tech design idea is something that we’re taking to our business. And we are making, we don’t want to be making a decision on Trivago marketing investments based on something that someone put on a piece of paper as part of our annual plan because then the paper is kind a running your business. We are instrumenting our businesses so that we are making the right tomorrow and the day after and the day after, and the day after and whatever the result is then that’s an optimized result for real business purposes and for the purposes of our investors, then an optimize result to hit a number on a piece of paper. We take our annual guidance with you seriously but there are lot of different adjustments that we are making with our businesses and we make those adjustments real-time we don’t make it because someone put a target on a piece of paper.
Operator: We move next to Dan Wasiolek with Morning Star.
Dan Wasiolek: Just wondering what percent of your total bookings are coming via direct and maybe how that's trended over the last year and any commentary on how you might view that trending over the next few years? Thank you.
Mark Okerstrom: Carefully guarded information, but I'll give you some directional color on it. One is that, obviously as we have built these big loyalty programs both in Hotel.com and at Brand Expedia and certainly Orbitz does have this benefit as well with the Orbucks program. You do build on your direct business that’s one of the core strategies of having those loyalty programs. So, as those programs mature and they are getting big we do see an increasing amount of our bookings coming direct. So, that’s the first point I’d made. Secondly, as in our mature markets like U.S. we do see a significant amount of our business coming to us direct type in responding to email using the app for example. And in less mature markets where we don’t have establishment the vast majority of traffic actually comes to us from variable channels and the goal is over time and we do this as we enter new markets and as they mature over time is to acquire these new customers and have them turn into repeat customers and build a business in places like Vietnam and Korea for example, that look a lot like the U.S. I think Dara had has made some comments over the course of last couple of quarters calls that one of the trends that we have seen is that the growth rates of our direct channels and the growth rates of bookings from our indirect or variable marketing channels were starting to get close together and I think that’s a trend that we had continued to see, and we are hopeful that something that can continue over a long period of time as we built these loyalty programs and as our international markets mature. 
Operator: At this time I turn the call back over to our speakers for the additional or closing remarks. 
Alan Pickerill: Great. Thanks, everybody, for joining the call today. Dara, do you have any closing comments?
Dara Khosrowshahi: Yes, just great job to the Expedia team on the world wise basis and in particular to the teams that are working on the Orbitz migration, it's a lot of work we appreciate it and a big welcome to the HomeAway team. So, thank you very much. Look forward to an exciting 2016. Thank you. 